Operator: Ladies and gentlemen, thank you for standing by, and welcome to Acushnet Holdings Corp. Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. [Operator Instructions]  I would now like to hand the conference over to your speaker today, Sondra Lennon, VP, Investor Relations. Please go ahead. 
Sondra Lennon : Good morning, everyone. Thank you for joining us today for Acushnet Holdings Fourth Quarter and Full Year 2020 Earnings Conference Call. Joining me this morning are David Maher, our President and Chief Executive Officer; and Tom Pacheco, our Chief Financial Officer.  Before turning the call over to David, I would like to remind everyone that we will be making forward-looking statements on the call today. These forward-looking statements are based on Acushnet's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see today's press release, the slides that accompany our presentation and our filings with the U.S. Securities and Exchange Commission.  Throughout this discussion, we will be making reference to non-GAAP financial metrics, including items such as revenues at constant currency and adjusted EBITDA. Explanations of how and why we use these metrics and reconciliations of these items to a GAAP basis can be found in the schedules in today's press release, the slides that accompany this presentation and in our filings with the U.S. Securities and Exchange Commission.  Please also note that when referring to year-to-date or full year results or comparisons, we are referring to the twelve month period ended December 31, 2020 and the comparable twelve month period.  With that, I'll turn the call over to David. 
David Maher : Thanks, Sondra, and good morning, everyone. I hope you are staying safe and well as we move closer to the end of these difficult times. Key themes running through today's remarks will be the tailwinds of strong golfer participation and demand and headwinds resulting from COVID-related supply chain challenges.  As you will hear, the keys to success for Acushnet in 2020 and 2021 involve balancing new product development, demand momentum, supply chain uncertainties, short-term cost increases and periodic regional shutdowns. Based on our track record, I am confident that the Acushnet team is up to this task.  Acushnet and the entire golf industry are benefiting from the continued commitment from PGA professionals and golf course operators who have worked tirelessly to provide safe and fun experiences since the earliest days of the pandemic.  More than 500 million rounds of golf were played in the U.S. in 2020, 60 million rounds more than 2019 and the highest annual total since 2002. I must also acknowledge and thank my teammates for their dedication and great work navigating the highs and lows of 2020 and positioning the company for continued success.  Their heightened commitment to associate safety, product quality and customer care is serving us well in these uncertain times and as we respond to strong demand across the Acushnet portfolio.  Now turning to Slide 4, we will get right into our results for the quarter. Sales of $420 million were up 14% versus last year with reported growth coming from every segment and in every region. Adjusted EBITDA of $48 million reflects an 8% increase.  The Titleist golf ball business grew 3%, as our team did good work balancing the opportunity to satisfy strong at once demand with the need to convert production to our new Pro V1 models to support their January global launch.  Golf Clubs sales were up 21% in the quarter led by our successful new TSi metals line. Since its debut, TSi has been the most played driver on the PGA Tour and we are pleased with the early results from our November launch.  Demand for all Titleist club categories is strong and our supply chain is holding up well, although lead times are running longer than normal, given COVID-related production modifications and tight component availability.  Gear was led by our Titleist Golf Bag business and also delivered a very strong quarter, posting a 25% gain with growth across all categories as our team did good work keeping pace with the brisk end of the year demand. And FootJoy sales of $101 million were up 19% in the quarter with gains in all product categories and accelerated e-commerce growth. FootJoy brings great brand and product momentum into 2021.  Looking at our business by region, as shown on Slide 5, double-digit gains in Korea and the U.S. are highlights for the quarter and we were pleased to see the Japan market stabilize late in the year. Europe battled starts and stops and inventory shortfalls on route to posting a modest increase for the quarter. Demand for golf in Europe is similar to what we have seen in the U.S., however, COVID- and Brexit-related challenges continue to slow the market's momentum.  These across-the-board regional gains in the quarter reflect the resiliency of Acushnet's global forecasting and supply chain capabilities, capabilities and competencies that have become increasingly critical during these volatile times.  And here on Slide 6, you see our full year results with sales reaching $1.6 billion and adjusted EBITDA coming in at $233 million. And as a final note, on 2020, Acushnet's direct-to-golfer e-commerce sites also recovered from early season disruptions and closures and finished up about 50% for the year.  As Tom will highlight, the company's financial position entering 2021 is in great shape and we will continue to focus on making targeted investments in our future and expanding our dividend and share repurchase programs.  I am pleased to announce that our Board of Directors has approved a 6.5% increase to our dividend, bringing the annualized payout to $0.66 per share. Since initiating our dividend program four years ago, the company has returned over $160 million to shareholders and our annual per share dividend has increased by 38%.  Additionally, moving to Slide 7, I am pleased to outline two significant projects which we believe will enhance Acushnet's competitive advantages over the long-term and deliver positive returns for our shareholders. The first initiative is a five year, $120 million capital investment in our golf ball operations infrastructure and precision manufacturing capabilities. Roughly $35 million of this commitment is normalized sustaining investments, while the remaining $85 million will be focused on new innovations, technologies and operational enhancements.  The majority of this spend will be focused on our new Bedford-based ball plants two and three and custom golf ball facility. With these investments, we will upgrade the speed and efficiency of Titleist Golf Ball operations and line capacity consistent with the ongoing mix shift towards Pro V1, AVX and New Tour Speed urethane-covered products.  We will also introduce new technologies to stretch our custom ball capabilities and support new and emerging imprinting opportunities. These capital investments will expand our production and testing capabilities and help us to further leverage Acushnet's industry-leading golf ball patent and intellectual property portfolio, which represents some of the company's most valuable assets.  We believe these investments in new technologies and operational excellence will solidify and advance Titleist's position as the golf ball performance and quality leader for many years to come.  The second area of investment commenced in late 2020 and relates to our new third-party North American distribution center located in Indianapolis. This project begins with the consolidation of many of our warehousing and distribution functions, starting with FootJoy and then Titleist gear products, which have historically been warehoused and fulfilled from the East and West Coasts.  Over time, we will fulfill most of our e-commerce activities from this new facility and add embroidery capabilities to support custom apparel and gear. Stock golf balls will also be shipped from this new DC, in addition to our East and West Coast facilities.  This third U.S. distribution point for golf balls will enhance our service capabilities and provide a valuable hedge against unanticipated shutdowns as we experienced last year. This initiative is intended to immediately enhance the end-user experience by reducing lead times and distribution costs for both our trade partners and consumers, while generating cost savings for Acushnet over the long-term.  And now turning to Slide 8, I will frame some of the key assumptions behind our 2021 planning process. The game and industry are in good shape. Golfer engagement is strong and trade inventories are generally healthy and, in some cases, low. Against this backdrop, each of our businesses brings great momentum into 2021.  Acushnet's product development engines remained in high gear last year and as you will see, new products are the foundation of our outlook and expectations for 2021. Last month, we launched new Pro V1 and Pro V1x models and are enthused by their early adoption across worldwide tours and positive early market response.  Titleist golf balls are used by approximately 75% of players across worldwide tours and our new Pro V1 and Pro V1x represent our next chapter of performance, quality, and innovation. To meet anticipated high levels of golf ball demand in 2021 and as we catch up from 2020, our golf ball plants are currently operating three shifts and Pro V1 models are on trade allocation, which we expect to continue for the coming months.  Titleist golf clubs are also well-positioned for the new year led by the early success and high expectations around our new TSi drivers and fairways and strong momentum across all club categories.  This week, we are launching the complementary TSi-1 and TSi-4 drivers along with new TSi hybrids as we look to build upon the success of the TSi franchise. Our 2021 gear product line has been well received by trade partners and our supply chain is in good shape as we are poised to launch a wide range of new models in the first quarter.  We are confident in our ability to satisfy first quarter demand and stock golf shops for the upcoming season while also anticipating that Q2 availability may be challenged by supply chain uncertainties. We expect FootJoy's momentum to continue into 2021 and are especially excited about new footwear models Stratos, Premiere, and HyperFlex.  FJ Premiere was the number one shoe at the Masters and initial tour and consumer feedback has been overwhelmingly positive. The FJ design team is on a great roll and we expect to benefit from their good work as the footwear and apparel category stabilize over the next 12 to 24 months.  And finally, our shoes business was mixed in 2020 with golf and lifestyle posting gains, but these were not enough to offset ski, which remains negatively impacted by COVID, especially in Europe. We expect shoes golf to stay on its growth trajectory in 2021 and anticipate a broader ski recovery beginning in 2022.  In closing, we are enthused about the year ahead and especially by the exciting range of new products we are set to bring to market in the first half of the year. Based on our 2020 experiences, I am confident that our team has a good handle on the circumstances that are within our control and we'll continue to excel at adapting to the inevitable uncertainties and operational challenges that we are likely to confront.  Thanks for your attention this morning. I will now pass the call over to Tom.
Tom Pacheco: Thanks, David, and good morning, everyone. I would also like to thank our associates for the resiliency they have shown in the face of the pandemic, the amazing effort they put forth to get our business back up and running in a safe and healthy manner and their exceptional execution, which has resulted in Acushnet's strong second half performance.  Starting with our Q4 results on Slide 10, consolidated net sales in the quarter were $420 million, up 14% year-over-year and up 12% in constant currency as the strong demand we experienced in Q3 continued through the end of the year. Gross profit for the fourth quarter was $220 million, up $34 million or 18% versus last year and gross margin was 52.4%, up 170 basis points.  The increases in gross profit and gross margin were primarily from higher sales volumes during the quarter and higher average selling prices.  SG&A expense was $174 million, up $31 million or 21%, compared to 2019 and R&D expense was $14 million, up about $1 million or 6%, compared to the prior year. SG&A expenses were up with the higher sales volumes during the quarter, led by increases in selling costs and higher advertising and promotional costs.  Income from operations in the quarter was $27 million, down about $1 million or 5%. Our Q4 income tax expense was a benefit of $8 million as the result of discrete items recorded during the quarter, including the release of a reserve related to an income tax audit for the period which included the sale of Acushnet to Fila Korea, which was settled during the quarter.  The reversal of a corresponding indemnification receivable from Beam, our former parent company, related to the audit settlement is recorded in other expense. Net income attributable to Acushnet Holdings was $22 million and adjusted EBITDA was $48 million, up almost $4 million from Q4 2019.  There is a reconciliation of net income to adjusted EBITDA for Q4 and the full year in our earnings release, as well as in the Appendix of the slide presentation.  Moving to our full year results for 2020. Consolidated net sales were $1.6 billion, down 4% from last year, both on an as-reported and constant currency basis. This is quite significant improvement given we were down 20% year-to-date at the end of Q2, compared to 2019.  Gross profit for the year was $830 million, down $42 million or 5% from 2019 and gross margin was 51.5%, down 40 basis points from the prior year. The decrease in gross margin is primarily attributable to the overall decrease in net sales and the impact of lower production volumes caused by the government mandated shutdowns earlier in the year.  SG&A expense for 2020 was $611 million, down $17 million or 3%, compared to 2019 and R&D expense was $49 million, down $3 million, compared to the prior year. The decreases were driven by our strict management of operating expense during the height of the pandemic. Restructuring expense for 2020 was $13 million.  Income from operations was $145 million, which was $40 million less than 2019. Interest expense was $16 million or $4 million lower than last year. Other expense was up $16 million primarily as a result of the reversal of the indemnification receivable from Beam related to the audit settlement in Q4 and pension settlement charges associated with our restructuring program.  And income tax expense was $13 million, down almost $28 million as a result of lower income before taxes and the discrete items, which I mentioned earlier.  Net income attributable to Acushnet Holdings was $96 million, compared to $121 million in 2019 and adjusted EBITDA was $233 million, down $7 million, compared to 2019.  Moving to Slide 11, our balance sheet continued to improve during Q4. At the end of 2020, we had $149 million of unrestricted cash on hand. Total debt outstanding was approximately $336 million, a decrease of $68 million from the end of last year and we had $392 million of available borrowings under our revolving credit facility. Our leverage ratio was 1.6 at the end of 2020, down from 1.8 at the end of 2019.  Consolidated accounts receivable at the end of 2020 was $202 million, down $14 million or 6% from the end of 2019 on very strong cash collections during the fourth quarter. Our days sales outstanding were 59 days, which were down one day compared to 2019.  Consolidated inventories were $358 million at the end of the year, compared to $398 million last year, down $40 million or 10%, but were up $40 million from the end of Q3. The year-over-year decrease was driven by golf balls, which was down almost 13%, golf clubs, which was down almost 22% and FootJoy, which was down almost 11%, spread evenly across footwear, gloves and apparel.  Most of the increase in inventory from the end of Q3 was in golf balls in preparation for the Q1 launch of the new Pro V1.  Cash flow from operations was $97 million for Q4 and $264 million for the full year of 2020. This compares to $39 million and $134 million for the comparable periods in 2019.  The increase in cash flow from operations comes mainly from strong cash collections and lower inventory levels I just discussed. We expect accounts receivable, inventory and cash flow from operations will return to more normal levels in 2021.  Looking to capital expenditures, we spent $9 million during Q4 and $25 million for the full year, which is down significantly from 2019 as we reduced our capital expenditures as we managed through the disruptions caused by the pandemic. For 2021, we expect our capital expenditures to increase to about $50 million, driven by the key strategic investments in golf ball operations and precision manufacturing capabilities that David discussed earlier.  We expect our CapEx to remain at approximately this level for the next several years in support of this five year initiative.  Turning to Slide 12, while we were more conservative with our capital allocation actions during 2020, our priorities have not changed. We fully expect to continue to make investments in the business with a focus on product innovation, golfer connection, and operational excellence and to continue to be opportunistic with acquisitions that align with our focus on premium performance products that appeal to dedicated golfers. We believe that these investments advance our long-term strategies and will drive growth at a favorable return.  We will also remain focused on generating strong free cash flow and returning capital to shareholders. We paid $0.155 per share dividend during the fourth quarter of 2020 for a total cash outflow of $11.5 million.  For the full year, total dividends paid were $46 million, up 6%, compared to 2019 and as David mentioned, our Board of Directors today declared a cash dividend of $0.165 per share payable on March 26 to shareholders of record on March 12, 2021. This represents a 6.5% increase in our dividend and an expected Q1 cash outflow of approximately $12 million.  As you know, we suspended our share repurchase program in Q2. Prior to that, we had repurchased approximately 244,000 shares, for a total of approximately $7 million in 2020. We do expect to resume our share repurchase activities and to buy up to $40 million worth of shares in 2021. This would include, open market purchases to offset dilution and the completion of our share repurchase agreement that we entered into with Fila in 2019.  Our capital allocation strategy is a foundational element of Acushnet's value proposition, which we continue to believe creates a compelling long-term total return for our shareholders.  Moving to our outlook on Slide 13, we will not be providing guidance for 2021 net sales or adjusted EBITDA due to the continued uncertainties caused by COVID-19. As David discussed, demand for golf and golf-related products continues to be strong, trade inventories are healthy and we will be launching several exciting new products in the first half of 2021.  However, we are also managing through the COVID-related disruptions in the global supply chain, temporary operational cost increases and periodic market closures, all of which at a high degree of variability and unpredictability in forecasting our business.  We anticipate golf's momentum in our business to remain strong throughout 2021, however, our sales profile will likely have a very different cadence as a result of the unusual comparisons to 2020, the global product availability outlook and the decisions we have made around product launch timing.  As a result, we project healthy first half year-over-year sales gains as compared to both 2020 and 2019 and that second half sales will be lower than both 2020 and 2019.  Additionally, at this point, almost two months into the quarter, we expect first quarter sales to increase in the range of 20% to 25%, compared to 2020. We expect first half 2021 gross margin to be negatively impacted by $8 million to $10 million from higher freight expense, driven by the recent increases in global air and container costs.  For OpEx, it is better to compare 2021 to 2019 as our OpEx was significantly lower in 2020 than in recent years due to our tight management of operating expenses during the year. We currently expect 2021 OpEx to be higher, compared to 2019 primarily from increased expenses associated with our North American distribution center and other strategic investments; a full year of shoes operating expenses compared to only six months in 2019; higher stock-based compensation expense, and higher commissions on our retail sales in Korea.  In conclusion, 2020 was an unprecedented year and our associates and trade partners did an amazing job managing through the shutdowns and delivering an exceptional second half. While we will continue to be cautious with the uncertainties and challenges we face, we are confident in our ability to meet our full year 2021 financial goals and we believe we will continue to be well positioned to execute our long-term strategies and to deliver a solid long-term total return for our shareholders.  With that, I will now turn the call over to Sondra for Q&A. 
Sondra Lennon : Thank you, Tom. Operator, could we please open up the line for questions? 
Operator: [Operator Instructions] Your first question comes from the line of Daniel Imbro with Stephens Inc. Daniel, your line is open. 
Daniel Imbro: Yes. Hey. Thanks. Good morning, everybody and thanks for taking our questions. David, I want to start on the multiyear golf ball capacity investment. You mentioned some of the capabilities it's going to provide, but can you explain a little bit more on, is this driven by maybe a little bit of current production being at capacity? Is this to increase your competitive advantage over peers maybe as they've made investments in their capabilities?  Can you just expand a little bit on why right now is the right time for this investment? And the capital, I think, Tom, you mentioned should be CapEx remains elevated for the next five years. But did we hear that right? 
Tom Pacheco: So, I said the next several years but, yes, you could infer it's five, because of the length of the golf ball capital investment program. 
David Maher : Yes. Daniel. So running – as you know, we run three ball plants, two here in Massachusetts, a third in Thailand and then we've got a comprehensive custom ball operation here in New Bedford, as well. And as I look back at sort of the cadence of investment we make in the business, you would imagine these businesses require ongoing and sustaining investment.  In the 90s, we built ball plant two. In the 2000s, we built ball plant three. In 2010 or so, we built ball plant four. So we have a history of, from time-to-time, making significant investment in our operations. And while we won't get into the specifics of where the investment is to be targeted, it reflects, for us, a generational step forward that, again, when we look back over time, this is something that's been very consistent with how we've always thought about the ball business.  It's the right time from an allocation standpoint, given the investments we've made in other areas of our business and other areas of golf ball operations and hey, it's also incredibly exciting as we continually look around for new technologies and advancements to introduce in our business.  Some we do on an ongoing basis to stay ahead of the pack and some, like this one, just when you bundle them together, become far more comprehensive and significant. So, I would say, it fits into the long-term strategy of how we think about the ball business and again, the time is right for us to earmark capital, whereas I said in my earlier remarks for what is an incredibly important part of our business and I don't want to lose the value of allowing us to further leverage our patent portfolio and intellectual properties. 
Daniel Imbro : That's really helpful. I appreciate that color. And David, maybe taking a step back, what do you view as the biggest risks to golf participation this year? We finally saw nice growth in golfers, rounds played were up. It seems like that's continuing, but what do you view as the biggest risk this year? And I think your slides and you mentioned in the prepared remarks, back half sales would be beneath 2019 levels.  Can you expand a little bit on why it would be down on a like-for-like product cycle versus 2019 just given these participation headwinds we see today? 
David Maher : Yes. So I'll take the first part of that, Daniel, and then Tom can jump on the second part. So as we think about what happened in 2020, we saw an extra 60 million rounds for the year. Really, 75 million of those rounds happened in the back half of the year. It will surprise no one when we look out on 2021, we expect rounds gains in the first half, healthy rounds gains in the first half and we don't expect to comp against that frankly historic second half.  But net-net, we like the trajectory and energy of the momentum that golfer participation engagement brings to the game. I've – we've all looked at the external data out there. I think it's Pellucid who has a good projection of, hey, if you take half the incremental rounds and they stick, that results in about a 7%, 8% increase in 2021 as compared to 2019.  And so it’s too early to make projections, but I think that's the right way to frame this. We would view rounds of play momentum continuing. But I think, frankly, it would be unlikely that we maintain the clip or pace that we saw in the second half. Rounds were up 40% in the U.S. in the fourth quarter. Now again, I think we are going to be living in an environment that's healthier in2021 than it is in 2019 but we're also trying to be realistic with how folks allocate their time and how life is going to change as we become a vaccinated country. And then, you apply that same logic around the world.  As to timing of things, I'll make a couple of points and then I'll turn it off to Tom. The real change here is that we are just seeing an overall shift in our business from second half to first half as a result of what played out in 2020, some product decisions we've made, inventory availability and so on and so on. I'll get a little more prescriptive, in terms of our cadence, balls will be on their normal cadence, no real change there, same with gear and FootJoy.  There are a couple of moving parts within clubs that I think are worth noting. I had mentioned TSi-1 and 4 drivers. Hybrids are launching in the first half. That was a second half 2019 event. We've got some limited edition putters from the second half of 2019 that won't repeat. They will but at a time to be determined.  Then we've got some other miscellaneous club volume that occurred in 2019 that will perhaps moved to 2020. So round numbers, Daniel, I'd say you are looking at about 50 million to 60 million in club volume. Maybe half is going to come into the first half of 2021. Maybe a quarter is going to bump into the early part of 2022 and then another quarter is TBD, some of the limited edition stuff which is not on a strict time line.  So, that's how we're framing the first half, second half journey. I'll kick it over to Tom for any more color. 
Tom Pacheco: Yes. The only two things I would add is, it is mainly driven by, as David said, the change in some of the timing of our launch cadence as compared to 2019. The only other piece I would add is, in 2019, we owned shoes in the second half of the year. The second half of the year for them has historically been the bigger half of the year because of their – because of the impact of the ski business on their full year.  And obviously, the ski business has been significantly challenged as a result of COVID and so, we are going to see some decreases there as it relates to shoes. 
Daniel Imbro : Got it. That’s really helpful color. I appreciate it guys and best of luck. 
Tom Pacheco: Thanks. 
David Maher : Thanks, Daniel. 
Sondra Lennon: Thank you, Daniel. Operator, next question please. 
Operator: Your next question comes from the line of Joe Altobello with Raymond James. Joe, Your line is open. 
JoeAltobello: Thanks guys. Good morning. So first question, I was curious if you had any sense for how much of an increase we saw in the number of on-course golfers last year in the U.S.? Obviously, the 60 million increase in rounds played is clearly encouraging. But is that largely existing golfers playing more golf? Or do you get a sense that there was more participation last year? 
David Maher: We are – there are a couple of groups out there, the NGF and a few others who track and model this and I won't point to any one. But I'll point to our roll-up of all the reports we look at and give you somewhat of a summary view. One interesting piece of data I saw and they tried to capture the 60 million rounds, right, and they said, okay, 20 million of the avids played an extra couple.  That’s accounted for 40 million of the rounds, 4 million to 5 million lapsed golfers. Golfers who had moved away from the game came back in contributed to a portion. And then another 4 million to 5 million new golfers contributed to a portion. So that's how we think about it. I will add, as well some good work really led by PGA of America, PGA Tour, LPGA Tour, focused on this particular area, okay.  We brought in new golfers. We brought back lapsed golfers. What can the industry do to maintain and preserve them and keep them active and engaged in the game. So we are encouraged by that. But Joe, hopefully, that gives you a bit of a framework for some of the numbers and metrics behind what we saw play out in 2020. 
Joe Altobello: Got it. It certainly does and I guess it's a good segue for my next question, which is how you are thinking about 2021. I mean, obviously, we all hope with the vaccine that things start to go back to normal this summer and I certainly understand why you wouldn't expect to comp that second half rounds played number. But in terms of the new and lapsed golfers, would you look – is this a new plateau and we grow off of this in 2022? Or do you expect to lose some of those this year?
David Maher: As I said earlier, we are still in a massive transition, right? 2020 was a massive transition year, 2021 will be a massive transition year. When the dust settles, hopefully sooner versus later, I tend to look at it, Okay, what's the world going to look like, 2022 versus 2019? And I think the golf landscape is going to have more energy, more momentum, more golfers.  Again, do I think we sustain and maintain the levels we saw in the back half of 2020? That would be extraordinary for the simple reason that so many other life events are going to come back online. But hey, the game shined in 2020, lot of folks had very good experiences with the game. I keep pointing back to the great work of golf course operators and PGA professionals really driving a lot of that energy and momentum.  So we are not going to pinpoint where this thing is going to go, but we tend to look at it in longer-term views and see a general positive energy around the game with the expectation and understanding, as I said earlier, you are going to see momentum in the first half. You are going to see energy in the second half but hard-pressed to keep up with the levels we saw in 2020 from a rounds of play standpoint. 
Joe Altobello : Got it. Okay. Thanks, David. 
David Maher : Yes. 
Sondra Lennon: Thanks Joe. Operator, next question please.
Operator: Yes. Our final question comes from the line of George Kelly with ROTH Capital Partners. George, Your line is open. 
George Kelly: Hey everyone. Thanks for taking my questions. So, just a few for you. First, back to the guidance you gave. I just want to make sure I understand the cost side of what you said is still in the first half, there will be, I think, you said $8 million to $10 million of incremental kind of cost of goods sold charges in the first half just related to shipping. Did you say anything about the second – your expectations in the second half of the year? Did I hear you right? 
David Maher: You did hear me right. So we said $8 million to $10 million of headwinds, primarily in the first half. We currently do expect that the challenges we are seeing in some of the airfreight and container freight will begin to normalize in late second quarter into the second half. 
George Kelly: Okay. Okay. Great. And then, as far as OpEx, I think you said you expect them to be positive higher than 2019 levels, all in? 
David Maher: That is correct and what we said there was there is three or four factors. The first is some of the increased expenses associated with the North American distribution center initiatives and some other strategic initiatives that we have ongoing, a full year of shoes operating expenses. So in 2019, we only owned them for half a year. So there is only six months worth of OpEx in 2019 versus a full year in 2021. And then, we said higher stock-based compensation expense as a result of some changes we've made in our grant structures.  And finally, higher commissions on our retail sales in Korea. If you recall, under U.S. GAAP, we have to report those as selling expenses. And so, as the sales levels increase – continue to increase in Korea, those expenses continue to go up. 
George Kelly: Okay. Great. That's helpful. And then, next question for me is just, I am still a little unclear on the $120 million investment in the ball plants. So is this something that – excuse me, maybe every 10 years or 15 years, this is just sort of how it works. There is things that you need to catch up on and processes, et cetera that really require this. Is this just kind of the normal cost of doing business or something more unique? 
David Maher: Yes. We don't see this as a catch up in any stretch. We are confident that we invest regularly in the business to keep us at the front of the pack. So we are very comfortable and confident with where we are. I do think you are right in the sense that this is how – this is how you run a leading precision golf ball manufacturing facility and custom ball operations.  Again, we make ongoing investments and then from time-to-time, it makes good sense, both from a competitive and strategic standpoint and an ROI standpoint to make more meaningful investments. And as I said a while back, if you look back over our 30 plus years, that's how it's worked around here and it's worked really well.  I also acknowledge too, that, hey, there is forever a shift in evolution of the type of balls you make, whether it's serling or cast urethane or thermoset or TPU, thermoplastic urethane, whether it's two piece, multi-layer, three piece, four piece, et cetera. So that requires some capital investment to stay ahead of that process, which is part of this journey as well.  So again, I'll just reiterate, George, I don't see this as a catch up by any stretch. I think this is a leap forward that fits into how we've always thought about golf ball manufacturing at the Acushnet company. 
George Kelly : Okay. And then…
TomPacheco: George, I was just going to add, of the $120 million investment over five years, I would call $35 million of it or so just normal recurring CapEx. So, we normally spend $6 million to $7 million a year in golf ball CapEx. In our last couple of years, we spent $30 million to $33 million. So $6 million or $7 million of that is golf ball. So the $85 million – the remaining $85 million of the $120 million is really that incremental investment. 
George Kelly: Okay. Got you. And then, last question for me around the second – the distribution facility that you talked about. Are – does this represent any kind of changes? If I heard you right, it's mostly about your e-commerce business or that's a heavy – that's a big part of it. Will this allow you to do anything in ecommerce that you really haven't been able to do or does it represent any kind of change of strategy regarding your ecommerce? 
David Maher: Yes. I would say this – I wouldn't characterize this as a investment focused or pointed at ecommerce. It really starts with the reality that we distribute today, FootJoy out of Fairhaven, Massachusetts and we distribute our gear business out of Carlsbad, California. There is a better way to do that. And we bring in most of those products from overseas to the East and West Coast and then we fulfill really the country and in some cases, North America from the East and West Coast.  There is a better way to do that, part one. Part two is, it gives us an added advantage with regards to golf balls. We ship golf balls out of the East and West Coast today. Many years ago, we had a central U.S. distribution center. We moved away from that. So this gives us a third point of distribution, shortened lead time, shortens cost for our customers and ourselves.  And hey, we experienced, this year shutdowns in California and Massachusetts and had we had this center operational, we wouldn't have incurred the shutdown ramifications that we did in 2020. It does as well, allow us to consolidate ecommerce fulfillment over time and that's an advantage and provide better service levels, quicker lead times, et cetera.  But, I wouldn't point to this project as a ecommerce-centric event. It's going to really touch many parts of our business, ecommerce being one of them. 
George Kelly : Okay. That’s helpful. Thank you and congrats on a wonderful quarter. 
David Maher : Okay. Sure. 
Sondra Lennon: Thank you, George. 
David Maher : Thanks. And everybody, as always, we appreciate your time and interest. Stay safe and well. We look forward to speaking to you in a few months after the close of our first quarter. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.